Operator: Good afternoon, everyone, and welcome to the Data I/O Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note today's event is being recorded. At this time, I'd like to turn the conference call over to Mr. Jordan Darrow, Investor Relations. Please go ahead, sir.
Jordan M. Darrow: Thank you, operator, and welcome to the Data I/O Corporation Second Quarter 2025 Financial Results Conference Call. With me today are the company's President and CEO, Bill Wentworth; and Interim Chief Financial Officer, Todd Henne. Before we begin, I'd like to remind you that statements made in this conference call concerning future events, results from operations, financial positions, markets, economic conditions, supply chain expectations, estimated impact of tax and other regulatory reform, product releases, new industry participants and any other statements that may be construed as a prediction of future performance or events are forward- looking statements, which involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. These factors also include uncertainties as the impact of global and geopolitical events, international tariff and trade regulations, order levels for the company and the activity level of the automotive and semiconductor industry overall, ability to record revenues based on the timing of product deliveries and installations, market acceptance of new products, changes in economic conditions and market demand, part shortages, pricing and other activities by competitors and other risks, including those described from time to time in the company's filings on Forms 10-K and 10-Q with the Securities and Exchange Commission, in our press releases and other communications. The company may also reference GAAP and non-GAAP financial performance measures, including onetime items, which are intended to provide listeners with a means to better understand the company's performance. The accuracy and completeness of all discussions on this call, including forward-looking statements should not be unduly relied upon. Data I/O is under no duty to update any forward-looking statements. And now I'd like to turn the call over to Bill Wentworth, President and CEO of Data I/O.
William O. Wentworth: Thank you, Jordan, for that introduction. I also want to thank the people that have made the call and took out the time to listen to what we're going to talk about today. As you can see, if anybody has seen the report, bookings were up sequentially from Q4 [ 401 ], Q2 [ 406 ] and Q2 [ 508 ] respectively. That's obviously been a focus for us is to get that booking number going in the right direction. It still hasn't settled in the backlog number. I see that in the second half, and I'll talk a little bit more about that and why. The large system order reflects our commitment to our core programming platform, the new universal platform we'll be rolling out between now and the end of the year. And the reason for this investment is the complexity of programming technology, especially in memory, has gotten a lot more difficult. And so the commitment to that is we need to have a platform that can actually handle these new technologies and the complexity that come with them and the changing standards that really almost change, almost annually at this point, at least every 2 years. So this complexity has driven the need to obviously invest in our core platform, which we are doing. And that order reflected that commitment because one of those technologies was UFS flash memory. And both UFS and NVMe, which are 2 technologies we are focused on, not the only ones, but certainly not 2 of the core because they have the most complexity, have annual CAGRs between now and 2030 of 14%. That is twice the semiconductor market. So obviously, there's a very good reason to be focusing in on these technologies, but also advance our platform in general for the wide range of products that we have to serve and eventually end up on one platform, which is our ultimate goal sometime the end of 2026, beginning of 2027, which will also help reduce a significant amount of technical debt the company has been carrying from the past. Second half, I can tell you the product mix looks better. We'll get into the margin discussion later and also look forward to any Q&A around that because, obviously, I'm sure there'll be some very pointed questions around margin, which I totally understand, and we're well aware of it. We have 6 major events between September and November. This is all around our new product road map, but the products are actually going to be introduced at these shows. These are 6 of the largest shows in their territory from China to Germany, which is productronica. India now has productronica because their tech market has grown significantly. So actually, this is the first time we'll be showing at that event with our new products. China has their show in October, and there's a spattering of other events is also in Mexico, Guadalajara, they have their largest event in September as well. So this should really pick up -- significantly increase the lead generation that we'll be doing. So these are big announcements that really drive a lot of value and understanding about where Data I/O was going with this technology and its road map overall. And these are road maps that were not just done on a vacuum. I mean they were done with sharing data with our semiconductor partners, which we established better, more significant partnerships in the first quarter of this year, which really helps us really look out 10 to 15 years about where we need to be because the technology is not going to slow down. So we have to be able to accept and be able to have room in our fabric of our platform to be able to absorb these new technologies, which we will have. Everything from a milestone perspective is on track, which is great. It's a little tight that always happens, but we look really good for these launches for the second half. What else would I like to say? Now it's the product road map. Let's see. I think that's it for right now. I will now turn over to Todd Henne for our financial section, but really look forward to the Q&A. But we have plenty to talk about, and I'm excited to talk about it. So I look forward to your questions. All right. Todd?
Todd Henne: Thank you, Bill, and good day to everyone. It's a pleasure to speak with all of you today. In my remarks, I will address our recent financial performance in more detail. My comments today will focus on key points of interest for the second quarter of 2025, recent trends and our outlook for the second half of the year. Net sales in the second quarter of 2025 were $5.0 million, down from $6.2 million in the first quarter of 2025 and up from $5.1 million in the second quarter 2024. First quarter 2025 revenues were elevated due to the completion of a large order received in the first quarter of 2024. We were also awarded a large order toward the end of the second quarter 2025, which is expected to be shipped and recognized as revenue in the second half of the year. Automotive electronics as a primary business segment represented 66% of second quarter 2025 bookings compared to 59% for all of 2024. Asia, led by China, has been relatively strong, particularly within the EV sector of automotive electronics. Europe and the Americas continue to be pressured by pent-up capital equipment spending due to tariff and trade uncertainties. Despite this headwind, consumable adapters and services provide a stable base of reoccurring revenue, which represents 50% of total revenue in the second quarter. Moving on to new bookings. The first 2 months of the second quarter carried forward similar activity from the first quarter order activity, which were impacted by the aforementioned tariff uncertainties. Conditions improved in June as evidenced by the large order we announced and have continued to remain active in the third quarter to date, even though certain of the international trade negotiations remain an issue. Second quarter 2025 bookings were $5.8 million, up from $4.6 million in the first quarter of 2025 and $5.6 million in the second quarter of 2024. Backlog as of June 30, 2025, was $2.8 million, down $200,000 from March 31, 2025. Gross margin as a percentage of sales was 49.8% in the second quarter 2025 as compared to 51.6% in the first quarter 2025 and 54.5% in the prior year period. A lower margin product mix and configuration of automated systems driven by a large customer order led to reduced margins. Direct material costs remained steady and consistent with prior periods. Ongoing supply chain planning and other actions have been mitigating the impact of new tariffs, trade and inflationary pressures, including shifting material sourcing and product manufacturing. While our top line performance was affected by tariff and trade negotiation pressures, we really have not been meaningfully impacted on the manufacturing side due to earlier mitigation and workaround strategies that are possible given our diversified supply chain and manufacturing operations in the U.S. and China. More recently, we are seeing some smaller items creeping in, like, for example, aluminum that have been hit with higher tariffs in certain parts of the world. We are not an aluminum buyer directly, but there is a small percentage of that metal in some of our system parts we purchase. We are taking steps to avoid this increase in price and note that it is currently in very small and limited amount within our overall cost of goods sold. Operating expenses for the second quarter 2025 were $3.8 million, up from $3.6 million in the first quarter of 2025 and $3.3 million in the prior year period. Second quarter 2025 spending included approximately $480,000 in onetime expenses, which are part of the company's investments in the core programming platform and information systems as well as for leadership and other human resources transition requirements. While savings from prior improvements in operations and more recent investments are expected to continue to positively influence financial performance, the onetime spending items are being brought to light to provide transparency into what we are doing and where we believe we'd be under normal conditions. For comparison purposes, first quarter operating expenses, including annual spending on public company costs pertaining to audits, regulatory fees and NASDAQ fees of approximately $300,000. The additional onetime spending in the second quarter of 2025 put us into a loss on operating income, net income and adjusted EBITDA basis. That said, and looking in the cash flow and the balance sheet, we used a very small amount of cash in the quarter, primarily for investments, as we've touched upon during the call and for the other onetime spending purposes. I'd like to provide additional color and perspective on these onetime items. We are making investments as well as critical enhancements to our technology platform and putting in place a road map for the future. These investments are onetime in nature, which amounted to approximately $165,000 in the second quarter of 2025. We also made the important decision to invest in the establishment of 2 other key functional areas: one, our new sales and marketing strategies; and two, the framework for ongoing growth and future business line expansion. Additional onetime expenses included costs related to HR and the CFO transition for which we spent about $145,000 in the second quarter of 2025. We expect to make an announcement of a permanent CFO in the third quarter of 2025, but I remain on board for a brief period of time to ensure a smooth transition. Therefore, we expect some double spending in the third quarter of 2025 and possibly the fourth quarter of 2025 on the CFO transition. Onetime expenses in the second quarter of 2025 for technology and IT- related growth initiatives amounted to $170,000. Total onetime investments and expenses in second quarter 2025 were approximately $480,000, which reduced our profits, adjusted EBITDA and cash in the period. Backing out onetime expenses in the second quarter of 2025 would have left us with an operating loss of $364,000 versus the reported second quarter operating loss of $844,000 and the second quarter 2024 operating loss of $566,000. Again, backing out onetime expenses, adjusted EBITDA would have been $43,000 versus the reported adjusted EBITDA loss of $437,000 and positive adjusted EBITDA of $3,000 in the prior year period. Working within this framework, it would seem that our cash balance, absent the onetime expenses would have been approximately $480,000 higher or nearly $10.5 million as of June 30, 2025, versus the reported amount of $10 million at the end of June 2025 and $10.3 million as of December 31, 2024. Based on this analysis, we can see that our financial performance and cash management reflect an improved cost structure and effective handling of our inventory and other short-term assets, all while we invested for more productive operations and future growth and scaling of the business. Data I/O's net working capital of over $15.6 million as of June 30, 2025, was slightly lower than $16.1 million at the end of last year, largely reflecting onetime spending through the first half of the year, which also included public company and other annual costs paid in the first quarter of 2025. Finally, the company continues to have no debt. This concludes my remarks for the second quarter of 2025. Operator, would you please start the Q&A portion of the call?
Operator: [Operator Instructions] Our first question today comes from David Marsh from Singular Research.
David P. Marsh: I just want to start out, if I could, a quick housekeeping question. With regards to the $480,000, Todd, can you tell me how that hits the P&L in terms of SG&A, R&D, how it might hit the P&L? And how we could think about that going forward, in particular around the kind of double counting you were saying for CFO services in the back half of the year?
Todd Henne: Yes. Really, David, it hits multiple areas. I mean primarily the area it's going to hit is going to be the G&A category because that's where the IT spending goes. That's where the finance spending goes, that's where HR goes. So a majority of that is going to be on the G&A line.
William O. Wentworth: Some of the consulting is in there.
Todd Henne: And some of it's -- and also the executive, there's some consulting in our executive group, and that's also in the same line item.
William O. Wentworth: And that I would expect to kind of run out by the end of the year. So with the savings that we're seeing across, we did a lot of IT discovery in our infrastructure, and there was a lot of discovery to be done there. And so we identified all the spend. One of my -- the consultants I brought in is going through each vendor. We've already seen what we -- we've already identified about $512,000 worth of spend reduction in our IT annually. And so we're probably about halfway to that number I already implemented. Expect the rest of that to be done by definitely before year-end, for sure. I can't tell you exactly when because some of it's got a lot of complexity to it. And we're trying to move as much as we can to the cloud, get more stuff off-prem, which then enhances our security. So there's a lot of -- we'll end up with far better infrastructure, far secure infrastructure and half the price. So I think it's been a great exercise for sure. And then I would expect the consultants that do run up to about annualized, if I use the number, some might have increased because of the work that they're doing specifically in IT. So that's going to more than pay for itself. Probably about an annualized spend around $0.5 million, maybe a little bit more. There's a couple of people that we've extended that we're supposed to retire. I convinced to stay on board because of their 30 years of knowledge, and they've been super helpful in defining our new programming platform and looking at being more vertically integrated, which is one of our new growth strategies that we've now identified in Q2 and we'll be moving forward in the second half. And that's also expanding into services, which I've talked to some of the shareholders about. So sorry for that long-winded answer, but I just want to get all that out, Dave.
David P. Marsh: No, no, that's really helpful. I appreciate that color and detail. Hey, so Bill, I guess I kind of want to dial in here a little bit on UFS flash. You had a lot of commentary, obviously, in the press release about it. And obviously, great news on these new orders. But this is a part of the business that's been kind of challenged with kind of lower yield rates historically. Could you just talk about what Data I/O can do differently that might produce some better yield rates? And just talk about a little bit more about...
William O. Wentworth: Thanks for the layup. I appreciate that. So yes, so UFS, when Luminex was first introduced, it was really introduced as a product, not a platform. And so through my discovery process, and this actually goes back to Q4, identified some of the technology gaps that were in the platform itself, and they were not small. And so I came back and started the year with a vengeance and just challenged the entire engineering team to say, look, we just need to reset here completely on Luminex. And so that's what we've done. And we brought in some outside consultants that there were some onetime charges in Q1, too that we didn't get a chance to talk about which I wish we did, and we give some reasons and more color for those numbers. But the investment here, Dave, is going to do exactly that, is get our yields. We need to be at 99.8% or 99.9%. That's the typical yield for memory devices that has been ever since flash came out. UFS, you got to picture it almost like a hard drive. It's got multiple layers, just like a hard drive flatters. And there's also a small part of what's inside the memory that directs to each one of those slivers of wafer or memory section to basically land the data. And so it's like a mini hard drive in a way, but it just does it through flash cells and a small instruction code. That's why they have these what they call protocols. These handshake protocols have only been present in UFS. They're not even in eMMC. eMCC is just a large piece of memory. That's it. UFS is a completely different animal. And so much more difficult. And if you don't preplan in your architecture for this technology, there's no way you get there. We had to invest in some [indiscernible] equipment to help us actually drive the ability to -- for the engineers to actually identify why it was not -- why we were not getting those yields. I mean when I went to Asia in December, it was chaos there. And it was because driven by UFS, the yield the log files, the yields were all over the place. It would bounce -- each site would bounce around from failure rates and nobody knew why. And so when I came back from that trip and then I dove into the platform to find out why, it was evident as to why that happened. And so we've been working since January when [ John Duffy ] took over our hardware department in January, I said, John, welcome to Data I/O and you need to design a new platform. So it was a pretty big introduction. He's done a phenomenal job of getting the engineers rallied around this. And I will tell you, testing on a certain contact that we're trying -- and it's an older contact technology, socket technology, but we've honed in some of the parameters of it. we're seeing 100% yield right now at test. Now it's a small sample size. So we're not ready to say we've won the war because we haven't. There's still a ways to go. There's still some intermittent issues that are happening, but we have line of sight. And so we also are trying other socketing technology that I believe will actually offer better contacting capability because the next most important thing to our platform is the ability to contact the device. If you can't make that 100% perfect, it's very difficult to drive good yields. It just is. So it's one of the reasons why we're looking at being more vertically integrated around socketing and getting into that market. And it's not a bad market. It's $7 billion. So it wouldn't be bad for Data I/O to enter that market to get a little sliver, and it's a larger market. So it can increase our overall revenue over time. And the margins are pretty solid. So anyway, sorry for that long-winded answer, but that is our primary focus, is yield.
David P. Marsh: Got it. And then if I could just sneak one last one in here before I yield. Just gross margin, this is kind of a low watermark for the last couple of years that we've seen for the company. Can you just kind of -- obviously, Todd, I caught your comments on mix, but maybe you could just give a little bit more color on that? And kind of just what the expectations are maybe for the back half of the year, if you have any of that available?
Todd Henne: We do. Actually, another way up. Thank you. So that order came in June, and we're actually able to ship a few systems out before the end of the quarter, probably 6 of them. That came from one of our larger customers. And the I/Os or the options, I would say, they don't put a lot of them in. They do load up on the programs. That was one of the reasons why we had to conquer this 4.0 because it was part of that order because they were putting LumenX heads in the systems, not as much as we would like, but enough. But they were the smaller systems, less I/Os and you've got 6 of them in the mix with a 7,000, couple of 3500s, it's going to end up putting a lot of pressure on that because the mix was just so pointed in one direction. So that's definitely going to drive down. The second half, we have a broad -- we have a very broad mix of products on the system side. 3000s, 5000s, 7000s, all look very similar, equal weighted in Q3 and Q4. Certainly, with the manual launches, we should certainly get a lot more conversations around systems as we drive more value into the product line. But we also don't have any revenue in the second half for any of the manual system launches. And I will tell you from the early demos and conversations we've had with customers, they're literally waiting for that product to come out to buy. Like I think we've already got like 15 manual systems. Not a ton of money, but that will start to really build out. And we have a lot of low-hanging fruit with our system customers over the 500 systems that have been delivered over the last 10 years, every one of those customers could at least buy 2 of these manual systems. So we really expect that to drive a lot more conversation with customers, but also get us more exposure into what they're thinking and where their businesses are going also for 2026. So that's the reason for the depressed margin. We also had some additional costs and cost of materials with prototyping for V1, reskinning V0. So that had a little impact on the margin as well because those costs were not connected to any specific revenue, just added cost to the supply side. So I hope that answers your question.
Operator: Our next question comes from Casey Ryan from WestPark Capital.
Casey Ryan: Real quickly, I think we've talked in the past about wanting to expand beyond automotive, and I know that this takes time. Would you be happy to give us sort of a qualitative view of how it's going sort of expanding and getting into new customers, right, and talking to people who maybe knew you but hadn't chosen me in the past because that feels like a big expansion area, right, long term?
William O. Wentworth: Right, right. No, it's a good question. And unfortunately, right now, I would say the new conversations are really going to be driven by the lead generation from the 6 shows we have coming up in the second half. Right now, I wouldn't say that we're not out there selling, but certainly, we have these new product launches coming up and that we know is going to drive more value to customers than new customers. So we're kind of in that in-between moment. But certainly, on the customer side, yes, automotive continues to be a big because it's been very large. And when you have these trail headwinds -- as an example, Korea, our Korea rep, South Korea rep, was one of our largest revenue- producing reps. And at this point last year, they had acquired. And when they forecasted for 2025, certainly, tariffs wasn't in the discussion at that time in December forecasting. But they were earmarked for $3.5 million of revenue. They've done 0. And it's a lot has been tariff-driven because in Korea, the customers we have there are tariff affected, their volumes slow down and they just put CapEx on hold. And so that's been a direct impact to our revenue for the first half. We would have a far better first half if that had not occurred. March, April and May were scary months. best I could say. June was outstanding. So we unlocked some of that kind of CapEx spend that was out there. But again, it ended up being mostly automotive. So it went from -- we went from 59% or 58% to 66%. It's not the direction I want to go in. We definitely want to be more diverse in our domains that we serve because that obviously makes the revenue more stable and not as impactful if you have an industry event like we have had in automotive. which really started to affect the numbers early last year. So absolutely, there's a continued focus. Monty and the sales team are all over that. We are changing almost monthly kind of our strategy. It's getting better and better as we fine-tune it. We're definitely being far more consultative. We came up with additional sales strategies that are going to help that. But on top of it, with the investment in IT infrastructure, mostly on the application side, we're adopting Salesforce Service Cloud. It's a great application. It ties directly into CRM, but it also will allow us to get the field service team to also be revenue generating. That group should generate revenue. through doing milk runs, health checks, going in and talking to the operators, offering training, but also identifying things that they may not know about our product line where they could get more throughput, better productivity, other programs, software that can help them identify issues if they have any, like really drive a lot more value. And so -- and we're going to initiate that even before the implementation of Service Cloud, which should be about 12 weeks. I want to get at least the last 2 months fully under Salesforce Service Cloud. But we're going to start those milk runs this quarter, probably September. It's after the summer season, everybody is back into full work form. So after Labor Day, we'll probably start those. So we're identifying exactly the regions. We've got the team to go out. We're arming them with iPads so they can document all the data and enter it directly into Salesforce. And then when Salesforce Service Cloud comes online, that data will already be in there. There's not a whole lot of data we'll be able to pull from the old system because the way it was configured, but we'll be pulling over the meaningful data. So yes, there's a total focus around enhancing our existing customer relationships, and a lot of this comes from contract manufacturers. I mean contract manufacturers have, as a service provider, have diversity built into their customer base already. We had a couple of machines go out to [ Jville ] end of last quarter, one going out this quarter. So when they use these machines in some of the plants that are somewhat universal in the markets they serve, some will be dedicated to automotive. That was where one of these systems went because of the reason that, one, it's a platform they designed into their build plan. So once you set that in automotive, you can't make changes. So you're in. But one is more of one of the facilities that does a broad range of products. So we are even managing that to that level within the EMS world because you have to set up by domain based on compliance programs, regulation, things like that. So no, it's very much a focus. I do not like being focused. I mean, look, I learned a very hard lesson back in 2001 of being too focused on a domain, which was networking and telco back in early 2001, and it was devastating to the entire industry. So it's one of the things even as a Board member identified this is something that has to be changed.
Casey Ryan: Right. Okay. Good. Well, that's actually very helpful. overview.
William O. Wentworth: We just can't get out of automotives way. They like us.
Casey Ryan: You're just too popular.
William O. Wentworth: I guess so.
Casey Ryan: So the bookings growth was really good, right, quarter-over-quarter, I think 26%, I mean, which is a big number off a small number, so I understand that. But do you feel like we could continue to see bookings at this level? Or is it reasonable to think that bookings could actually keep rising as we move through the year not at all -- that they would be recognized?
William O. Wentworth: They should and they will. I mean we're rolling out new products. The good thing about the booking numbers -- and so systems are a little more challenging, like depending on the system type, the fact that we -- they were 5000s actually was a good thing because we could build them faster. They're easier machines to make. China is -- I mean, the order was in China, the Shanghai facility built them and delivered them. So that was a unique situation, super -- that's why we were focused so hard on getting over this UFS, not only just to complement or be able to show that we can actually do this and be able to get high yields on UFS technology because there are multiple protocols out there. The sweet spot right now for UFS is 3.1 and about 128 gigabytes. But there's already 256s out there, there's 512 coming and 1 terabyte coming in 2027. So the unique thing about this is we were able to book and ship within the quarter a decent amount of those systems to help the quarter. So yes, that was the big help there.
Casey Ryan: Okay. All right. Terrific. And then sort of getting to the gross margins, I guess I'm a little less concerned about it, but quarter-to- quarter. But tell me about the spread of the margins across your products. How widespread do we have to think about in terms of mix? I mean, are some at 70% and some at 30%? Or is everyone kind of in this 45%?
William O. Wentworth: No, no. Like it's a good question. Actually, the Board asked that question yesterday. We need to do a little bit more homework on that so we can identify. One of the things that manufacturing implemented at the beginning of the year is that we didn't do a good job of true cost accounting at the labor level, right, to really understand what our margins are product to product. So I had Dwayne stood in. Dwayne Jones is our VP of Manufacturing. It's awesome for what he does. He's been here for 30 years. And he's been crying for this opportunity to be able to track the data as we build. And so they've been doing that, and then we'll start to be able to do -- we are doing true activity-based accounting on manufacturing. We understand the exact margins of those products. And look, manual systems are going to have a much like sockets, very similar margin to sockets, maybe even more because as we build leverage on the platform, we can also increase our pricing and that increase in pricing. And as I looked at how we price things, we tend to mark up the things we don't make pretty high, and I don't think we mark up our core platform and where we invest our capital high enough. So we're going to start breaking some of this stuff out, just especially internally so that where we're spending the money accurately shows the generation of revenue and the gross margin contribution to the company. And so then when I talk about investing at the core, people will get excited, right, because they'll see the real value that we drive by making those investments in what we do, which is building programmers, not analysts. We do -- the PSV line is kind of aged at this point. It's been over 10 years or around 10 years since the first PSV was announced. We are looking at new automation designs now, and we'll start hopefully a project plan by Q1. But we're going to simplify the systems. And by simplification, it actually leads to a much lower cost, so we'll have increased margins, but we're also looking at the market a little differently than putting everything in one platform and one machine. We'll still make probably the 7000. We'll do some advances on it, change the smack heads, but it will increase speed and UPH. But when you have a large system that moves in multiple directions, they just will tend to break down more. And we try to give customers the right information on what to maintain, but they don't always do it. So by going to a single gantry and a very high-speed pick head, we can get probably a 50% increase in throughput in a machine that's far less to build and far simpler to manage. And so -- and it has a smaller footprint. So again, these are just design thoughts, but definitely doable. And what it does is it should increase uptime for our customers, but also lower maintenance costs and higher throughput. I mean that's a pretty large value that they get there. And then the second part of that will be breaking off some of the IOs and put that in a separate system, meaning marking and tape and reel. Tape and reel will still be able to go tape to tape or trade to tape in the programmer platform, automation platform. But there's a real need for a system that just does those services, complementary to programming, but also individually in their supply chain. So I think we could put a package of 2 systems that marry up to each other that provide customers a wider variability to manage their supply chain, like if they had parts that came in and some of them were bent in the reels, they could run vision inspection on that machine and not do programming. So I think it expands our market as well in automation in general. I mean, the whole purpose is on the programming side, but why not have a machine that's universal that's at a good price point that you can do other services on it. The programming houses will love it. The contract manufacturers will love it because they can build that into their supply chain.
Operator: [Operator Instructions] Our next question comes from George Marema from Pareto Ventures.
George Marema: First, I just want to say I'm absolutely thrilled with the team's energy and the big positive cultural shift going on there. It's like an entrepreneurial startup, and I'm just thrilled about this.
William O. Wentworth: It is. I will tell you, I changed the work-from-home policy a few weeks ago. Not everybody loved it. But I will tell you, in the last 4 weeks, it's amazing the amount of collaboration we have now. I've got the software team in here altogether. They're here on fixed days. You can see the collaboration growing, which is -- it will just extend into the value that we'll be driving in the second half. I mean some of the software team came out and fixed the old product. When we get this thing out there, it is the amount of value that it's going to give our customers is -- I was just blown away when they did the demo last week. I mean it's pretty special what's going on in the building right now.
George Marema: That's great to hear. A couple of questions. One is on this $1.4 million EV order from China. What kind of penetration does this represent into this company? And does it meet all their needs? And what does this replace that they were using?
William O. Wentworth: It didn't replace. It's -- obviously, the Chinese EV market is doing very well inside of China and also outside of China, where they don't have massive tariffs put on their cars and can actually sell them. So that is -- they were an existing customer already had 20 systems. So this was adding to their demand. So an existing customer. And that's why the configuration was what we expected from them and price point, we kind of knew and look, it was a great order to overcome. The UFS technology is something that they already use. It's also -- so that was 4.0 because they were going to make a new investment and those systems are on a product that's going to adopt the 4.0 protocols. Like I said earlier, the 3.1 is the sweet spot today. They use that in our systems for that as well and have been dealing with the yield issue. It's why we were -- they were like, "Look, we're not going to place an order unless you can show us you can conquer this." And we did, and we got the order. I mean we work -- the engineers work literally 24/7 for 8 weeks. I mean it was it was hardcore. And so -- and they accomplished a phenomenal goal, which also gave them all the hope that we know we can conquer the 3.1. And all our competitors are having the same problems. Once we solve this yield issue, I believe there's pent-up demand in the sweet spot right now. So I can't say that confirmatory with 100% confidence, it's just a feeling, but I think customers have also held back in general offline programming until this problem can be resolved. And they're just managing through. They can get enough yield to build the products. But if I was them, I wouldn't be happy either. But we're giving them a lot of hope that we -- not hope, we've shown them that we can fix this. And so we're pretty close on. I would say we're probably 4 to 6 weeks. Again, that's just a range, and it may be 8, but we will get 3.1 solved by the end of this quarter.
George Marema: So let me go with that. So if you get that solved and then the 4.0, like can you sort of describe best you can sort of what kind of dollar market opportunity does that represent for you guys if you solve these problems? And also, does the profile of this solution have the same type of recurring adapter revenue? Or is it less or more or about the same?
William O. Wentworth: No, no, it was same adapter revenue and all that. Yes, none of that changes. If anything, they probably would increase, obviously, as they move into more of using UFS across their entire platform. But I'll tell you, it's not just Asia, it's Korea, it's Europe. It's -- there's not much UFS, believe it or not, not a ton in Mexico, but it's coming. So as more and more adoption of the UFS and NVMe too, which is something we haven't talked about before, but it is a technology that also is growing at 14% CAGR. We actually, ironically, the bench equipment was already here to start working on it. It was just never implemented. So it's hard for me to put in dollars because, again, like if I look at the Korea customers, they bought 7000s. They didn't buy 5000s. So they would load up because they're using a ton, especially in consumer, some in automotive. But on the consumer side, you're driving large, large volumes of UFS. So in Korea, they would configure those systems with pretty much all LumenX, no flash. So it's hard for me to give you a very direct answer because it's literally region by region, and it's also market by market. Does that make sense?
George Marema: Yes. Suffice to say, it's a large opportunity, though, yes.
William O. Wentworth: Yes. Well, of course. And like I said, 14% is twice the overall semiconductor TAM. So it would be crazy not to conquer this. I mean it's where literally a significant amount of our engineering time is being spent right now. We've really -- I dumped a lot of the programs that were in the business in Q4, pretty much all of them because, one, it wasn't investing in the core and it wasn't solving the problem. What I found was and as a Board member, just became recently aware of the UFS but until you get under the covers, you don't really know what's going on. I mean they can flash up a bunch of reports that says we've solved this, we've solved that. In reality, a lot of it was not solved. And it's not because they were kind of guessing as to where they should focus the solve. And I will tell you from my experience of being intimately involved in this right now is that it's literally 4 or 5 areas of our technology and our automation, and socketing is a huge part of this, right? So contacting the device. And also, the LumenX platform is 8 sites. 8 sites was okay with eMMC, not okay with UFS. And so by the new platform goes down to 4 sites, which gives us much more power to every pin on the device, which you need to access multiple of these pins because you're dealing with such complexity in the device itself. So we can solve it with what we refer to as M8, but M4 will definitely be which gets launched in November. But we've been able to do some pretty special things even on the existing platform like 4.0, which has fairly complex communication handshake needs. But I will say from 3.1 to 4.0, the suppliers themselves have gotten better because even some of them implement these protocols in variable different ways. That's the other complexity. It's not the same across all the silicon providers. Some they're really good at it, like Micron. And I won't call out the ones that don't do a great job, but there are some that it's a bigger area of gray. So you have to have the right bench equipment to do that and to identify that and understand it. So the team is learning a lot. And I think through these challenges, we're going to up our ante in these consortiums. We're actually going to be a real member of these different committees, and we'll have representation at those large committee meetings when they start talking about the protocols and so. So we're ahead of this all the time in the future.
Operator: And ladies and gentlemen, at this time, we've reached the end of the question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
William O. Wentworth: Well, I just want to thank everybody for taking the time to listen to our spiel. We're very, very excited about where we're going. The team is as energetic as ever. I think it seems to be increasing week after week. We've got some people that retired and I put them on contract because of their knowledge and now they're thinking, "I don't know if I want to retire." I'm like, "Sorry." No, kidding. I mean, love to keep them around. These are people with 20, 25, 30 years of experience. That's one of the other things that we're really going to start to drive in our customer presentations is why do you choose Data I/O? I can tell you, Dwayne Jones has been here for 30 years. That's 10 years longer than Dediprog, one of our competitors even been alive. So to not promote that educate the knowledge base that's in this building, it just needed to be unlocked. And that's what we're doing. And I think it's obviously helping us solve these complex problems and get to where we need to go, but it's also driven a lot of excitement. And the collaboration, like I said, we've got some interns in here now that are learning and that they're loving doing the business. They're learning -- what they're learning they love. And some of our best hardware engineers were those very interns 5 years ago. So yes, I just think as we build more and more knowledge, we need to be viewed as the experts in this space, and that's what we're doing. So I want to thank everybody. It was definitely a hard quarter. This was not easy. The first 2 months were ugly, and we had a great close to the quarter. My goal is to get through the first half a little unscathed, I guess, and not too many scars because I know the second half is going to be better. So thanks, everyone.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.